Operator: Ladies and gentlemen, good morning, and welcome to the analyst conference call on the Third Quarter 2025 Results of Ahold Delhaize. Please note this call is being webcast and recorded. [Operator Instructions] During this call, Ahold Delhaize anticipates making projections and forward-looking statements. All statements other than statements of historical facts may be forward-looking statements. Forward-looking statements are subject to risks, uncertainties and other factors that are difficult to predict and that may cause our actual results to differ materially from future results expressed or implied by such forward-looking statements. Therefore, you should not place undue reliance on any of these forward-looking statements. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead, JP.
John-Paul O'Meara: Thank you very much, Sharon, and I'm delighted to welcome you all today to our Q3 2025 results from sunny Zaandam. On today's call are Frans Muller, our President and CEO; and Jolanda Poots-Bijl, our CFO. After a brief presentation, we will open the call for questions. In case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website at aholddelhaize.com, which also provides extra disclosures and details for your convenience. [Operator Instructions] To ensure ease of speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise stated. And with that, over to you, Frans.
Frans Muller: Thank you, JP, and good morning to all of you indeed from a sunny Zaandam. As you will have seen in our interim release this morning, our 2025 year-to-date performance is a great proof of the potential and value creation we are excited about with our Growing Together strategy. From a macro, social and political perspective, there's a lot going on in the world, the effects of which are felt in our stores every day in real time. With rising inflation, stagnating economic growth and changes in government policy, which, in some cases, are becoming more frequent and more unpredictable, the business and customer climate is for sure, volatile. Whether it is the current delay to the distribution of SNAP benefits and rising health and medical costs in the U.S., timing of the food stamp payments schedule in Romania, the recent limitations on the grocery trade market implemented by the government in Serbia, this creates uncertainty. Tough choices and headwinds for consumers and businesses alike. At the same time, the industry is evolving, be it omnichannel, data, AI and mechanization. Those companies, and I would include Ahold Delhaize in that group, who are at the forefront of these changes, who are well prepared, well invested and can leverage the experience and creativity of their people, those companies will outperform. Therefore, to ensure we continue to sell successfully in this dynamic, I believe 3 things are essential to keep the rather steady: flexibility, resilience and culture. These qualities become truly powerful when they are aligned behind a focused and well-articulated plan, which is exactly what our Growing Together strategy provides. It connects how we serve customers, run our operations, invest in our people and deliver strong financial performance, all while advancing our commitment to health, sustainability and responsible growth. So let me share a few examples how this tangibly shows up across our business in how we innovate for customers, build trust through transparency and act responsibility -- responsibly in our communities. The flexibility comes to life through our work in our own brands, where we adapt quickly to evolving customer needs and local market dynamics. And by harmonizing assortments, accelerating innovation and aligning product development across our regions, our teams can respond faster and with greater position to what customers want compared to competition. This agility helps us deliver differentiated value and quality while simplifying operations and improving profitability. All of our brands have seen year-over-year growth in own brand penetration. And in both regions, we are seeing own brand sales growth outpaced the rest of the store in both dollars or euros or units. But this is not the time to sit back and relax. And therefore, we are stepping up our own brand game and have undertaken a comprehensive cross-functional and cross-regional view to identify further opportunities. We will lean into this more heavily as we move through the next seasons. We have the biggest own brand share of store growth opportunity in the U.S. Some of the foundational work put in place to sustain momentum in 2026 and beyond includes, for example, the review of our 90% of our categories to harmonize assortments, align product specs and reduce supply complexity. The identification of a pipeline for new products in high-growth categories and the activation of commercial plans across the brands to raise own brand awareness and drive higher consistency and efficiency in execution. In Europe, we are building on a very strong position with own brand share already around 50%, 5-0 percent. Therefore, we are concentrating on further strengthening competitiveness through continued assortment harmonization, expansion of our health-oriented brands like Nature's Promise and Terra and the expansion of our everyday low-price products or how we call them Price Favorites. All our European brands now have a minimum of 900 Price Favorite products across their assortments. Through our family of great local brands, we have unparalleled proximity and rich anonymized data to loyalty programs that gives us a real-time understanding of what matters most to our customers. And during challenging times, it's important that our customers do not have to choose between eating an healthy and nutritious meal and paying their rent. This mindset keeps our people motivated and connected to our purpose. Resilience for our customers comes from transparency, being open and consistent about the value, quality and health choices we provide. We strengthen trust by clearly communicating nutritional information, offering price certainty and helping customers to make -- to be informed, affordable and healthy decisions. Here, visibility and education are equally important. Customers increasingly value the healthy options accessible across our brands. They also appreciate the simplicity of easily identifying the health differences between comparable products, such as with the Guiding Stars in the U.S. and NutriScores in Europe, nutritional rating systems used for our own brand products. In the U.S., we are partnering with Circana to expand the accessibility of the system to a broader range of suppliers. Albert Heijn in the Netherlands is revamping its fresh product aisle, expanding its offering with more convenience, new snacks and ready-made meal kits. It's also introducing new fresh food packages to inspire customers to prepare fresh and nutritious meals more quickly and easily. Maxi Serbia held its third Healthy Food Every Day school program to encourage healthy eating amongst children. And in the program, students across Serbia learn about the importance of a balanced diet, eating fruit and vegetables and physical activity. And finally, our culture is reflected in how we show up for our communities. Those partnerships with organizations such as The Global FoodBanking Network and local initiatives like Food Lion Feeds and Hannaford school pantries, we help families access nutritious food and reduce waste across our value chain. It has been just over a year since Ahold Delhaize partnered with The Global FoodBanking Network. And since then, we have provided the equivalent of 2.9 million meals to those in need. Hannaford, its 200th school-based food pantry for students in need, and they launched that recently and through partnership with school districts, food banks and hunger relief organizations, the program has helped expand food access for students from preschool through college. As part of its annual Great Pantry Makeover initiatives, the Food Lion Feeds program restocked 33 food pantries to better serve neighbors experiencing food insecurity. More than 92,000 pounds of food items were donated and associates contribute more than 1,500 volunteer hours. And don't forget, by 2032, Food Lion has committed to donate 3 billion of cumulative meals. Albert Heijn held their annual "you can't learn on empty stomach" campaign, where customers could buy healthy breakfast or dinner products at a discount and donate them to the Dutch food banks. And through the campaign, more than 350,000 products were donated. These efforts are not site projects. They are part of who we are. They demonstrate that our culture of care and connection extends well beyond our stores and that we define success by the positive impact we create. Delivering for our customer communities today sets the standard for how we build the business for tomorrow. We are translating the same flexibility, resilience and culture into our physical network, supply chain infrastructure and technology investments, expanding and densifying its growth markets, modernizing logistics and embedding AI-driven innovation that will enhance both customer experience and productivity. Our U.S. brands are solidifying their real estate pipelines to accelerate new store openings in the coming years. We see the strongest opportunity for growth in the markets served by our Food Lion brand. In some of our markets like Raleigh and Charlotte, we have seen population growth of 7% to 8% in the past 5 years, and that is not slowing. Having achieved its 52nd consecutive quarter of same-store sales growth, Food Lion is well positioned to extend its record performance. Today, Food Lion is launching their omnichannel remodels at 153 stores in the Charlotte market. These remodels enhance the omnichannel shopping experience and include items like updated assortments and easy meal solutions that they're ready to cook or eat and, of course, are priced right. Self-checkouts for an enhanced and efficient shopping experience and e-commerce options for all customers through Food Lion To-Go or a store pickup. This is now the third market to complete the omnichannel remodels, where we have previously launched remodels in Raleigh and Wilmington, we continue to see strong sales performance with average weekly sales outpacing non-remodeled stores. Construction is therefore also underway on 92 store remodels in the Greensboro market, which will be launched in 2026. In Europe, Delhaize Belgium is expanding its footprint with another 8 new supermarkets that will open in '26 under the brand's affiliate model. The new stores complement Delhaize existing network and reinforce our growth ambitions in Belgium. Additionally, we expect the Delfood transaction, which is -- which are the former Louis Delhaize stores to close in the first quarter 2026, allowing Delhaize to further differentiate itself in the convenience store segment. We also continue to make good progress on the integration of Profi, where we see a strong future growth path. Over the past 3 years, the brand has opened over 200 stores and intends to ramp up expansion in the next 3 years. A few of the things we have done this year to set ourselves up for future success include like things like introducing our own brand assortment to Profi customers, enhancing value and differentiation, expanding Profi's strong quick meal service offerings of coffee, fresh pastries and convenient meals and those options also to our Mega Image and our Shop & Go stores and to meet, therefore, evolving customer needs. And we slowed our cadence of store openings to finalize the commitments we made to the competition authority. At the same time, our Romanian teams have used the time to identify optimal locations for each of our local brands to ensure we leverage their unique strength and create a better fit to local market dynamics. And you will see accelerated growth in 2026 on this front. With our customer value proposition advancing and our footprint ambitions taking shape, let me spend a few minutes on where we are on strengthening capabilities that will support the next phase of growth. The same flexibility, resilience and culture that guide our brands also drive how we invest in infrastructure, automation, technology and data. These enablers make us more efficient, deepen our customer relationship and ensure we use our data to create a faster and more connected business. So here are a few examples to illustrate this. To facilitate growing capacity demands, 2 weeks ago, we announced plans for Ahold Delhaize USA to build a new state-of-the-art distribution center in Burlington, North Carolina. The new facility, which will add over 1 million of square feet of distribution center space is expected to begin operations in 2029. To maximize efficiency, the site will leverage proven supply chain mechanization technology. And this investment is within the scope and parameters of the Growing Together financial network. Our culture of innovation is also providing new and powerful ways to interact and serve our customers as we will explore use cases for new technologies and business process improvement. With the rapid developments in AI, we see many opportunities to accelerate across selected domains of our business, focusing on the ones that can have a real impact on our business. And I'm confident that under the leadership of our new CTO, Jan Brecht, we will make fast progress building the right foundational AI platforms that will enable effective future scaling of winning AI solutions. Our teams will scale our proprietary retail media platform, Edge, to our U.S. brands in the coming year. This is an important step as retail media becomes an increasing effective way to create a relevant customer experience and provide additional revenue streams. The platform powers on-site display, sponsored search and in-store digital screens and has already proven successful at several of our European brands. As 2025 draws to a close, I'm proud of our progress and more importantly, that we have sustained and strengthened brand equity and leading market positions across the portfolio. I'm confident we are doing the right things to reinforce our strategic levers to capture growth, volume and market share. And at the same time, we are staying close to our customers and associates working hard to navigate these turbulent times together successfully. As we turn our attention to delivering a strong holiday experience for our customers, prioritizing value, healthy assortments, convenience and everything they need to create their own special and unique holiday moments, I also wish you happy holidays, starting with Thanksgiving in only a couple of weeks. Now over to Jolanda to talk more about the specifics of our third quarter and provide more color on our outlook.
Jolanda Poots-Bijl: Thank you, Frans, and indeed, good morning to everyone. We've delivered a strong quarter, steady sales growth, solid execution and continued progress on our Growing Together ambitions. What I'm particularly proud of is our ability to deliver a balanced and consistent performance in a dynamic environment. The backbone is our passionate and dedicated people, supported by a strong portfolio of brands that stay close to their customers and local markets. By combining that deep local insight with the scale and capabilities of our group, we continue to adapt quickly, find efficiencies and create opportunities in real time. This balance of flexibility, resilience and culture is what underpins our financial strength and long-term value creation. Let's have a look at the key underlying results for the quarter, as shown on Slide 17. Net sales grew 6.1% to EUR 22.5 billion. This reflects good momentum across our regions, fueled by our growth model and strategic priorities, which have been a key catalyst contributing to a solid volume performance. The closure of Stop & Shop stores and the cessation of tobacco sales in Belgium negatively impacted net sales growth by 0.7 percentage points. Underlying operating margin was 4.1%. Strong performance in the U.S. more than offset the first-time consolidation of Profi and planned strategic price investments in the U.S. Diluted underlying earnings per share was EUR 0.67, up 8.7% at actual rates. Higher underlying operating profit and the impact from the share buyback program was partially offset by higher taxes and finance expenses. Slide 18 shows our results on an IFRS reported basis for Q3, which were EUR 31 million lower than our underlying results, primarily due to impairment charges on operating stores in the U.S. and an adjustment on the losses related to the affiliation in Belgium. Let's now turn to our regional performance. On Slide 19, you see comparable sales growth by region, including and excluding weather, calendar and other effects, which shows we delivered another solid quarter of steady sales growth. Looking at the regions in more detail. U.S. net sales were EUR 12.9 billion, an increase of 1.9%. Comparable sales, excluding gas, increased 3.1%, excluding a negative impact from weather of 0.2 percentage points. This reflects solid comparable performance and continued customer momentum. In addition to the positive impact from comparable sales, net sales were negatively impacted by the following: around 80 basis points from the impact of Stop & Shop closures and around 20 basis points from a decline in gasoline sales. The underlying operating margin in the U.S. was 4.6%, excuse me. Excluding nonrecurring items, margins were up 20 basis points from the prior year due to higher sales leverage and careful timing of promotions using our learnings heading into the holiday season. This more than offset our price investments and the dilutive impact from a change in sales mix from online and pharmacy sales. The nonrecurring items, including a release of a provision on our self-insurance program. This primarily resulted from continued improvements in workplace safety. Given all the stresses in the health and medical market, creating a healthy, safe workplace is equally a vital part of what we do as a company. The Stop & Shop team has been laser-focused on executing their pricing strategy and have extended key elements and refinements to an additional 88 stores in Massachusetts. At the same time, our associates are improving the quality of service and in-store execution, optimizing promotional effectiveness and tightening day-to-day operations, while there's plenty of work ahead of us, I am encouraged by the positive first response from customers, which we see in our improved Promoter Scores. As we close out the year, I expect our fourth quarter U.S. margin to be roughly in line with the prior year as we continue to invest in value, service and in the customer experience, ensuring sustained momentum into the new year. Turning now to Europe. Sales were EUR 9.6 billion, an increase of 12.4%. The integration of Profi had a positive impact of 9.1%. Adjusted comparable sales growth was 3.4%, excluding the impact of 0.6 percentage points from tobacco. We expect to see a similar impact for the coming 2 quarters when we cycle the tobacco regulation in Belgium coming into effect. As we saw in Q3, comparable sales growth eased, partly due to some of the macro effects Frans mentioned earlier. Also, to a certain extent, as we begin to comp our own successes of the past years in the region. In the CEE region, we expect to see slightly lower growth persist as market growth is pressured due to rising inflation, which, in this case, is more policy-driven, for example, VAT increases in Romania than supply driven. Underlying operating margin in Europe was 3.9%, stable versus last year. Margin improvements in Belgium and better labor productivity in general were offset by the impact of the first-year consolidation of Profi and lower profitability levels in Serbia due to the new governmental degree on grocery industry pricing. The decree started from September 1 and remains in effect until February 2026. Given this new headwind, as we look into the fourth quarter, we expect that the margin profile for Europe will be at a similar level to that of the third quarter. I remain encouraged by how our local brands continue to balance affordability and innovation while protecting profitability, a clear sign of operational resilience. Our relative performance remains strong, and we continue to see the long-term growth and margin opportunities in line with our Growing Together plan, particularly as we drive more alignment of best practices and leverage our scale. Our omnichannel ecosystems continue to drive growth and differentiation and help us build market share. During the quarter, online grocery sales grew 15.4% in the U.S. and 11.9% in Europe, marking a sixth consecutive quarter of double-digit online growth. In the U.S., this reflects our disciplined store-first model, which we pivoted to in 2023. This strategy supports enhanced convenience, delivery immediacy, optionality, order quality and profitability. With over 2,000 stores across our network, our customers can shop nearly the full store assortment and can take advantage of our same-day fulfillment options. Over the past 3 years, we've seen same-day delivery increase from 65% of our orders to nearly 90%. We also completed the rollout of PRISM at Food Lion and Hannaford. And with that, all 5 U.S. brands are now on our proprietary platform, which will amplify speed and impact of innovation in omnichannel convenience for our customers. As online further evolves, so too will our operations and infrastructure with it. We will further evaluate our fulfillment operations to optimize the customer experience and improve online profitability. At Albert Heijn, double-digit growth was supported by a 10% increase in orders. To support its growth, Albert Heijn has announced its real-time delivery slot system to offer personalized delivery windows during checkout based on location and order history. Using AI, this system dynamically recalculates routes and time slots to minimize emissions and maximize efficiency even as orders come in. bol enjoyed another strong quarter, growing 8.4% and is on track to deliver a very good year. As the clear #1 in the market with a reliable assortment, local relevance and growing network of international partners, bol is a well-skilled and innovative e-commerce business with the personality of a great local brand. During the quarter, bol launched branded shelves, a new self-service advertising product, giving sales partners and suppliers their own digital storefront. This marks the next step in bol's development as a full-fledged media mail platform. Moving on to Slide 23. Q3 free cash flow was EUR 389 million lower year-on-year due to phasing and lease repayments. Even with headwinds from foreign currency, we remain on track to deliver on our full year 2025 free cash flow commitments. Our strong balance sheet gives us the flexibility and resilience to keep investing in the business while also returning cash to our shareholders. In that context, we are pleased to reconfirm the continuation of our EUR 1 billion annual share buyback program for 2026, underlining our confidence in future cash generation and earnings growth. Alongside financial results, we continue to advance our healthy community and planet ambitions. Our MSCI AA and Sustainalytics low-risk ratings have been reaffirmed, reflecting consistent ESG performance. Through initiatives such as the Healthy Future Academy, we are equipping associates with knowledge, skills and confidence to further integrate health and sustainability in their daily work. The program takes learners on a journey from farm to plate, covering topics like nature and climate, circularity and health throughout Ahold Delhaize value chain. Across our brands, we're making healthier and sustainable products more affordable and accessible. From Delhaize Belgium reformulated own brand canned vegetables to new hybrid meat and plant-based products. In addition, we continue to foster collaboration with suppliers across our value chain to support regenerative farming and reduce greenhouse gas emissions. Ahold Delhaize USA recently introduced their partnership with Danone North America and The Nature Conservancy aiming to reduce methane from yogurt production over the next 5 years. This follows earlier partnerships with Kellanova, General Mills and Campbell Soup. These examples show how commercial performance across our brands and responsibilities go hand-in-hand. As we move into Q4, our priorities are clear: deliver a strong holiday season, serving our customers with healthy and affordable products. I'm confident that our strong foundations, dedicated associates and customer-first mindset enable us to deliver on our promises for the year, which you can see reiterated on Slide 25. As it is important to track underlying operational performance in both our reporting and our outlook, for 2026, we will align our external guidance to a currency-neutral basis, which is also more attuned to market practice for multicurrency companies. In summary, our strong year-to-date performance reflects a company that is flexible in execution, resilient in performance and guided by a culture of accountability and care. These qualities, together with our clear strategic focus, position us well to continue driving sustainable growth and long-term value creation. And with that, I thank you for tuning in. And Sharon, please open the lines for questions.
Operator: [Operator Instructions] And your first question today comes from the line of Robert Jan Vos from ABN AMRO ODDO BHF.
Robert Vos: I have 2. Since you mentioned it as one of the reasons for the strong margin expansion in the U.S. in Q4, could you quantify the impact of the timing of the promotional activities in the U.S. in Q3? And my second question is, you talked about the growth in Europe and that it is expected to be a bit more subdued going forward. It was 2.8% in the quarter. However, if we look at food inflation levels in the countries of presence, these are generally a bit higher than that. So that indicates some negative volumes. Can you elaborate on this, please? Those were my 2 questions.
Frans Muller: Robert Jan, Jolanda takes the first question, then I take the second one.
Jolanda Poots-Bijl: Okay, Robert Jan. Yes, the Q4 question you asked about the promo phasing. As we indicated, our Q3 results were impacted by one-offs of 20 basis points in the U.S., and this 20 basis points is related to the release of the provision that I talked about and the promo phasing, and that's the guidance we can give you on this front.
Frans Muller: And on the European margins, they are corrected 3.4% in Europe for the quarter compared to a comparable of 2.8%, which we report. And it has to do with the timing and phasing effects of nonrecurring items from last year.
Robert Vos: That's clear. But can you maybe elaborate a little bit on volumes? Were they still positive in most brands?
Frans Muller: Yes. Volumes year-to-date, we have positive volumes, and we also expect that will be the same for the fourth quarter.
Operator: We will now take the next question, and the question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Perhaps if you can talk a little bit about the comments you made, Frans, on the real estate team pulling together pipeline and the warehouse [ Burlington ] you made $860 million. If you can help us understand what we should be thinking about the growth in terms of new footage new stores, maybe next year or the year after, how we should be thinking about what sort of magnitude? That's the first one. Second one is just a bit more of a request to clarify the U.S. margin drivers in the quarter. I know you've talked about 20 basis points. But did you just say, I think the 20 basis points refers both to the provision release and the promo shift? Or was the provision release 20 basis points and then the rest is in the underlying 20 basis points improvement? And the real question there, I guess, for me is, is the provision release a longer-term realizing you provisioned very, very prudently, and this could be there in a year, 2 years', 3 years' time?
Frans Muller: Thank you, Sreedhar, for your questions. Jolanda will take up the second one or partially the third one. On the first question on the DC, the DC for Food Lion in the Carolinas is, of course, an evidence of our success, I would almost say. We grow very fast with Food Lion and have also future plans to grow further, both in store remodels like the 153 we just launched in Charlotte, but also with new store openings like we said before. And those new store openings, that is organic growth for Food Lion and the store remodels and the increased success of Food Lion needs more capacity, which is a good thing. The other thing is that we also said in our Grow Together strategy for the 4 years period that we will remodel 1,000 stores in the U.S. So we are on the path of growth. And when we talk about store growth, then we talk about Food Lion, Hannaford and The GIANT Company. And let's not forget that we are in the southern part of the East Coast, where both we see population growth and GDP growth as well. So we're in a very good spot there, and that's why we need more capacity. So it's a logical effect of our success.
Jolanda Poots-Bijl: Thank you, Sreedhar, for asking that question on the U.S. margin. The 20 basis points is indeed a combination of the promo phasing that we referred to and the release of the provision. And then your next question on the provision, that's a provision that is reassessed every year, but we do not expect at this point further releases on that provision. So it's a one-off, and that's why we refer to it.
Operator: Your next question comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: I'm going to go with 3 as well. So just looking through the kind of SNAP impact from the payment pause, which is probably a [ P ] of one event. Do we now think the U.S. margin has reached a point where it should be kind of broadly flat going forward and looking into 2026? And do you think you are gaining share in the U.S. and can continue to gain share at this kind of margin level? That's still in the U.S. And then in terms of Europe, I mean, it looks like you're suggesting margins should be down, give or take, 50 basis points in the fourth quarter. How do we think about that flowing into next year? Is that a drag on margins we should think about for 2026? Or is 2026 a Europe margin growth on the back of some of those Profi synergies in particular?
Jolanda Poots-Bijl: Thank you for the questions asked. First, starting with the U.S. margin profile, which we disclosed will be for Q4 comparable to the prior year, which was 4.2%. We envision to maintain our cadence of price investments, continuation of the sales mix. Bear in mind, [ Rx ] and online are growing double digit. And there's indeed the promo shift from Q3 to Q4 that we see there. If I look at the European Q4 margin, as I disclosed in my statement just now, we expect the Q4 European margin profile to be comparable to Q3 this year, which was around 3.8%. And there you see the impact of the first-year consolidation of Profi. We discussed in previous calls that Profi, the closure of the transaction was somewhat later than we hoped for, and therefore, the synergies also kick in somewhat later. The second impact in the European margin profile is Serbia, the decree that I talked about, which is in there. Overall, as we say, we're steadfast on our commitments to deliver on our Growing Together strategy with an average of 4% margin over the whole period and a 4% growth CAGR, and I don't see any reason to deviate from that. So confident for the next year. And of course, we will provide detailed guidance in February going forward.
Robert Joyce: Sorry, just to follow up on that U.S. margin. The question on the market share. Do you think you're taking market share now in the U.S.? And are you kind of at the right level to continue taking share?
Frans Muller: We take market share in the U.S. We also see with the latest numbers on grocery development that we trend better than the market. And I think this has to do with the price investments we made, the online performance where we have a very strong penetration. So I think we can confirm that we gain market share in the U.S. geography as a whole.
Jolanda Poots-Bijl: We also expect positive volumes in Q3 for the U.S. as well. So yes.
Frans Muller: That's what I said before. So the Q4 trend is the year-to-date is positive volume that will prolong for the Q4. And I'm also happy we had yesterday our total Stop & Shop team with us. And also from them, we see now that they trade positive volumes as well. So that's going in the right direction.
Operator: Your next question comes from the line of William Woods from Bernstein.
William Woods: The first one is on Stop & Shop. I suppose, are you happy that you've done enough at Stop & Shop to date to sustain that turnaround? And I suppose what have you learned and adapted as you've rolled out this strategy? And then the second one is just a shorter-term question on SNAP. How are you thinking about the impact of SNAP at the moment? What are your latest conversations on that?
Frans Muller: So Jolanda will say a few things about the nutritional assist programs. I will say a few things more about Stop & Shop. So you were faster on your feet already talking about Stop & Shop than I thought. So I was saying a few things about Stop & Shop because we are excited about the development there. The team was with us, and we had a full report yesterday as we see from them every month with our full management board because this supports an important project. The Stop & Shop team has now invested -- price invested in 70% of their fleet. And like Jolanda mentioned before, 88 new stores to be price-invested in Massachusetts. We have improved execution in our stores, availability, fresh performance and that topic, we work hard on productivity and execution. We closed last year 32 loss-making stores, as we earlier said to you. We have already a very strong online performance with Stop & Shop and a good 10% penetration. And we also see, if you look at the market numbers that we gained volumes that our NPS are trading very nicely up. And also the team with Roger's leadership has also renewed, and we see also there a lot of energy and positivism. Having said all that, that does not mean that we have not still a lot of things to do. And that's what I mentioned before, the type of turnarounds need more time. But good evidence. Team is enthusiastic and energized about the results we see. So I'm optimistic going forward. But again, we come back to you next quarter on this topic, too.
Jolanda Poots-Bijl: Yes. Thank you, William, for the question on SNAP. First of all, we think it's quite disappointment, very disappointing for those impacted, those families in need, especially with the winter and holiday season ahead of us. Thus far, for the business, we do not see material impact. We, of course, will closely monitor developments going forward, and we will stay close to our communities. Yesterday, Food Lion released that they've contributed an additional EUR 1 million in support to help the communities they operate in. And also our whole focus on reduction of prices, the price investments of EUR 1 billion in 4 years' time will also support these families. So closely monitoring impact. That's what we're doing.
William Woods: But just to clarify on the SNAP impact, if it doesn't get paid or only half of it gets paid, so you're just saying that there's no material impact to Q4. Is that right?
Jolanda Poots-Bijl: That's not what I said, William, exactly. I said thus far, we don't see a material impact, and we closely monitor developments going forward. And we remained -- okay.
Operator: [Operator Instructions] We will now go to our next question, and our next question today comes from the line of Fernand de Boer from Degroof Petercam.
Fernand de Boer: Maybe to come back on the SNAP impact. Could you quantify? Because I think a couple of years ago, you did quantify how much SNAP was of your U.S. sales? And that's the first question. And the second one is on the Netherlands with bol. At this moment is still going very well, I think. But also Amazon recently announced a huge investment program for the Netherlands. Do you see this market changing? And how are you going to prepare for the investment of Amazon?
Jolanda Poots-Bijl: Thank you for the question. The SNAP penetration, that's the only quantification that I could provide at this point in time. It's a very -- at a very low level in our company. So it's at one of the lowest levels since a few years pre-COVID. So low penetration, no material impact thus far, and we will monitor just like you what's really happening in the next few months.
Frans Muller: And at the same time, Fernand, like Jolanda mentioned before, we did a lot of things on value and price investments. If it's our own brands, if it's investing in our prices. And we're very fortunate that we have a very good relationship with Feeding America and our local food banks to make sure that we can support those families and communities in need. That is now our first priority. And then we monitor the situation how this will evolve, the shutdown and therefore, also the connected SNAP funding. Talking about Amazon and bol, it's a competitive environment. It's -- we see every quarter something new in this beautiful online space in the Netherlands. But I just would like to come back to the facts and how we prepared for that. bol has an 8.4% growth, which is, therefore, growing roughly double how the marketplace is growing for general merchandise. So we're gaining share again. Like Jolanda already mentioned, we're up for a very good year for bol, both top line and bottom line. The company does a great job in adding new categories like refurbished, for example. And the company is also under the leadership of Maite made a very nice transition from Margaret, it was successful, Margaret in her leadership to Maite into the future, and it has gone very smooth. 46,000 partners on the platform, and we increasingly develop the relationship. We talk about logistics viable, advertising viable. So we make bol an even better platform for them to compete with. And we also see that the number of suppliers, the number of partners on the platform is increasing, and we also have a very nice tap into Chinese and Asian suppliers directly on the platform, which gives us a great advantage. You have seen with all the other Chinese players that there is a little bit lower strength because of European regulation on quality and on trading. And that's why also people recognize that bol in its quality assessment, quality and compliance with the European law that they're very much in line and that is for more and more customers and asset. And just look, Fernand, I don't know if it's for your -- for family members or nephews and nieces, just look at the sensational toys catalog over Christmas for Sinterklaas here, 3 million copies out and sensational good toy catalog. So with Black Friday coming up, with Sinterklaas, with Christmas coming up, bol is super prepared for the season, and I'm very confident that we have a very strong run there as well. So yes, we see people investing, making announcements. We look at our own thing and our own strength to see where we can improve both pricing, both value, both logistics and services. And that's why I sound -- and you can hear that. That's why I sound quite enthusiastic, excited about this business. And I'm very proud about the bol team, how they progressed so far.
Fernand de Boer: May I do one follow-up on the promotions. Why did you change the strategy there? Why did you do the phasing? Is it simply more to get in Q4 and a little bit less in Q3? Or how does that work?
Jolanda Poots-Bijl: Yes, you're referring to the promotions for the U.S., right?
Fernand de Boer: Yes, yes.
Jolanda Poots-Bijl: Yes, yes, exactly. That promo phasing, as we call it, we're just learning from our promos, optimizing and heading into the holiday season, we shifted a bit of that promo atmosphere into the Q4 quarter based on the learnings we had. But it's also -- don't make too big a thing out of it. It's trending over time. You adjust where you think you can optimize your returns, and that's just what's going on.
Frans Muller: And $1 billion price investments, $1 billion price investment for the U.S. in our total Growing Together plan, that is absolutely our commitment, and we are in line with that commitment.
Operator: We will now take our final question for today. And the final question comes from the line of Maxime Stranart from ING Bank.
Maxime Stranart: I hope you can hear me well. So 2 questions for me as well. Firstly, looking at the U.S., it looks like your comment on Hannaford posting consecutive quarters of growth has disappeared from the release. So I just want to inquire there what has happened with Hannaford precisely. And secondly, looking at Europe, you have decreased your guidance for Profi for full year sales. Anything we should read into it and how it would translate into growth in 2026? That would be all for me.
Frans Muller: Yes. So thanks for your engaged question on our beautiful brand, Hannaford in the Northeast. [indiscernible] but also this quarter was another consecutive quarter of same-store sales increase. So strong as they go and going strong. So don't have any second thoughts. A few things on Profi, Jolanda?
Jolanda Poots-Bijl: Yes. You asked about the sales profile for this year on Profi. That has been impacted more by macroeconomic factors than anything else. It's the VAT being increased with 2% in Romania, which, of course, impacts sales. And the food vouchers in Romania, the timing of that provision to customers has changed and impacted sales somewhat. There was also a small increase -- a small impact because the 87 stores that we are selling is related to the transaction with Profi happened somewhat earlier than we projected. So it's now in November, and we planned for it in January, which is all good, of course. Is there anything that would impact our structural guidance on the growth for Profi? Not at all. So it's macroeconomic and some of the stores that needed to be sold earlier in timing than we predicted earlier onwards.
Frans Muller: Just quickly ChatGPT the data -- data on Hannaford, so super proud. It was the 17th consecutive quarter for growth -- comparable sales growth for Hannaford. So that is then also that data point with you.
Operator: We have a follow-up question from Rob Joyce, BNP Paribas.
Robert Joyce: Just a couple of quick follow-ups. I think -- sorry if I just missed it in that last Profi answer, but are we still expecting Profi from 2026 to be back in a position of kind of expanding profitability and growing there? And then the second question was, I just had a few questions about the U.S. slowing in the most recent months. Have you seen any sort of change in the trajectory of the U.S. business there? Any underlying weakness in the consumer?
Frans Muller: Yes. On the U.S., thanks for that question. I think we gave you already the data that we are -- if you look at Nielsen numbers that although the market is a little bit softer that we did better than the market. So we gained share. And inflation in U.S. at the moment is roughly in 2.5% food at home. So I think we see that we are very well positioned there, but the market was slightly softer. But in that slightly softness, we gained share.
Jolanda Poots-Bijl: And the question around Profi, we're very happy to have Profi in our family of great local brands. We will invest in opening up stores going forward intensely because we really see that there is an opportunity for Profi to grow going forward. And as we stated earlier, Profi is expected to come into the average European margin levels in 2 to 3 years going forward with the synergies that we are now realizing and that will impact 2026 positively already.
Frans Muller: And synergies come in better than planned, by the way. So also the teams are very successfully working on that.
Jolanda Poots-Bijl: On a positive note by our CEO.
Frans Muller: No. But I think we have a little bit of experience with integrating businesses, I think. And it's never easy. It's the cultural component, the people component, the network, the synergies. And at the same time, also keep on accelerating your growth because Profi is a growth machine for us and 200 stores in the last years. That means also as from '26, we start growing again fiercely because that market gives quite some opportunities, especially with the business model of Profi and in the rural areas. That's why this is strategically the right move. That's why we're close to EUR 5 billion in Romania in sales #2, and that's the planning we have.
Operator: Thank you. I will now hand the call back to JP for closing remarks.
John-Paul O'Meara: Thank you very much, Sharon, and thank you all for joining us today. We look forward to catching up with you in the coming weeks. And just to reiterate, a happy holidays to everyone that we don't see between now and the end of the year.
Jolanda Poots-Bijl: Thanks for joining us.
Frans Muller: Thank you. All the best to you. Have a good week. Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.